Operator: Good afternoon. My name is Kathleen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Resideo 2024 Fourth Quarter and Full Year Earnings Call. [Operator Instructions] Thank you. I would like to hand the conference over to your host today, Chris Lee, Global Head of Investor Relations. You may begin your conference.
Christopher Lee: Thanks, Kathleen. Good afternoon, everyone, and thank you for joining us for Resideo's Fourth Quarter and Full Year 2024 Earnings Call. On today's call will be Jay Geldmacher, Resideo's Chief Executive Officer; Mike Carlet, our Chief Financial Officer; Rob Aarnes, President of Resideo's ADI Global Distribution business; and Tom Surran, President of Resideo's Products and Solutions business. A copy of our earnings release and related presentation materials are available on the Investor Relations page of our website at investor.resideo.com. We would like to remind you that this afternoon's presentation contains forward-looking statements. Statements other than historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Resideo's filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identified the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. With that, I will turn the call over to Jay.
Jay Geldmacher: Thank you, Chris, and thanks to everyone for joining us today. Let me open by saying how happy I am with how the Products & Solutions and ADI business segments finished 2024 strongly, delivering revenue growth, healthy gross margin expansion and record free cash flow generation in a global macroeconomic environment that is still mixed. As a result of our team's continued excellent execution, Resideo exceeded the high end of the range for all the metrics we provided in our annual financial outlook. Reported total net revenue of approximately $6.8 billion grew 8% year-over-year. Total adjusted EBITDA grew 17% year-over-year to approximately $700 million. Total cash generated from operations was $444 million, a new record and was well above our outlook of at least $375 million. Let's now go into some of the annual highlights for each business segment. Products & Solutions continued to improve its fundamentals, experiencing growth in organic revenue and gross margins in 2024. The year-over-year annual change in organic net revenue improved approximately 300 basis points versus 2023, resulting in a positive growth rate that rounds to flat year-over-year. Organic growth excludes the impact of currency and the divestiture of Genesis. This was due to realized price increases across substantially all product categories, offset by volume declines. Reported gross margins for 2021 expanded by 240 basis points year-over-year due to structural improvements that increased operational efficiency. Our commitment to new product introduction was evident in 2024 with the launch of the Focus Pro thermostat and VISTA security products in the last two quarters. And customer reception and demand for these products continues to be very positive. We are excited for these products and for a range of new products scheduled to be introduced in 2025. ADI 2% organic net revenue growth year-over-year in 2024 after excluding the impact of currency and the acquisition of Snap One. ADI overcame soft market conditions during the first half of the year with digital channels and product categories such as video surveillance, residential security and fire and access control showing second half strength. We acquired Snap One in June 2024, and its integration into ADI continues to progress very nicely. We achieved approximately $17 million of run rate synergies in 2024, approximately 40% higher than expected. In summary, we had a strong end to 2024, and this momentum is setting us up well for continued revenue growth, gross margin expansion and durable free cash generation. Before I hand the call off to Tom, Rob and Mike to talk about the drivers of the fourth quarter, we want to comment that the global macro environment remains mixed with continued U.S. dollar strength and the potential for changes in the tariff environment adding uncertainty to 2025. The Resideo team is prepared with comprehensive planning to address potential tariff changes, including detailed actions that are designed to address the potential impact. Examples include commercial actions, price increases and operational and supply chain moves. Let us now turn the call over to Tom, who will provide additional details on the fourth quarter for Products & Solutions.
Thomas Surran: Thanks, Jay. The fourth quarter was another period of solid execution and operational progress for Products & Solutions, highlighted by the seventh consecutive quarter of year-over-year gross margin expansion. Gross margin continues to expand due to structural improvements that increased operational efficiency. In the quarter, gross margin was 40.8%, up 130 basis points year-over-year. Moving on to net revenue. After excluding the impact of currency and the divestiture of Genesis, fourth quarter organic net revenue declined approximately 1% year-over-year. Our HVAC OEM, electrical distribution and retail channels continue to be strong. However, these results were offset by softness in the security channel. Let me walk through the puts and takes. The HVAC channel achieved both price and volume growth in the quarter, buoyed in part by the successful launch and shipment of the connected and non-connected Focus Pro thermostat devices during the quarter. Inventory levels of our products within the key North American HVAC channel continued to be healthy. The OEM channel was another bright spot in the quarter, posting growth for the first time in many quarters. OEM posted a double-digit growth percentage year-over-year, led by strong EMEA demand for boiler, furnace and other products that drove increases in both price and volumes. The retail and electrical distribution channels continued to perform well in the fourth quarter. Volumes of our BRK-branded safety products sold to professionals through our electrical distribution partners continue to be healthy. We saw both an uptick in the number of homebuilder relationships and an increase in content per new home due to the quality and trust associated with our BRK product line. Those same attributes are also associated with our First Alert and Honeywell Home brands. Retail sales were again strong, near the record high established in the third quarter. The security channel continues to experience soft market conditions. However, I am encouraged by two things in the quarter. First, security sales with a large customer were better than anticipated. And second, customer reception for the new VISTA product introduced in the quarter was very positive. This new product is the first among the full line as we upgrade the VISTA portfolio. I remain excited about our return to a regular cadence of new product introduction and the profitable growth opportunities we are targeting. I started my comments by stating that the business is making operational progress amidst an ongoing turnaround. A primary goal of Resideo has been to get products and solutions healthier and in a better position for future profitable growth. We have made meaningful progress towards this goal in 2024 and believe we will soon capitalize on this momentum. We are energized about the profitable growth opportunities associated with the new products slated in 2025, the first of which was the matter-enabled smart thermostat announced at the Consumer Electronics Show. As we release more new products, we look to sustain and improve upon the year-over-year gross margin expansion trend we have achieved. With that, let's turn the call over to Rob.
Robert Aarnes: Thanks, Tom. ADI achieved 39% year-over-year growth in reported net revenue in the fourth quarter. Growth was driven by the inorganic contribution from the acquisition of Snap One, broad-based organic growth across product categories, and accelerating digital revenue. All of my following remarks on growth year-over-year represent organic business activities and do not include the impact of currency or the Snap One acquisition, unless otherwise noted. In the fourth quarter, organic net revenue growth was 9% year-over-year driven by strength across nearly every product category and from large commercial customer activity. Our daily sales average in the quarter achieved another record high. From a product category perspective, we saw double-digit percentage growth year-over-year in multiple categories with notable contributions from the video surveillance and fire product categories, partially offset by a low single-digit percentage decline in the residential audiovisual category. We continue to achieve healthy expansion into our strategic growth verticals of professional audiovisual and datacom. E-commerce net revenue grew 22% year-over-year achieving another quarter of sequential revenue dollar growth and a new record high in daily sales average. Our ongoing strategic investment in e-commerce continues to yield positive returns. E-commerce is structurally accretive to total ADI gross margin and is becoming a bigger contributor to total gross profit dollars. Our investments also position ADI well as a leading omnichannel distributor. During the quarter, we enhanced the on-site search experience using a leading AI product discovery technology and saw an almost immediate improvement in conversion rates. We are really excited about our exclusive brands. Net revenue increased 34% year-over-year, and we launched almost 80 new products in the quarter. We are already seeing the strategic benefit of a combined ADI and Snap One as we offer a greater amount of more profitable products across more stores to drive higher customer engagement and cross-sales opportunity. As Jay mentioned, the integration of Snap One is going very nicely. We have achieved approximately $17 million of run rate cost synergies in 2024 since welcoming Snap into Resideo. As we move into year 2 of our integration, we are seeing early positive signs in exclusive brands' cross-sell opportunities that complement some of the store consolidation activity planned for 2025. Our customer-first ethos is integral to how we execute operations. It was foundational to our fourth quarter performance and is foundational to our future as we look to carry the momentum and continue driving profitable growth in our strategic focus areas, achieving further deal synergies and running an efficient organization throughout 2025. Let's now turn the call over to Mike to discuss our fourth quarter's financial results and 2025 outlook.
Michael Carlet: Thanks, Rob. Good afternoon, everyone. Let's get straight into the quarterly results, starting with revenue. Fourth quarter total company net revenue was $1.86 billion, up 21% year-over-year and up 5% on an organic basis excluding the impact of currency, the Snap One acquisition and the Genesis divestiture. Reported total company net revenue exceeded the high end of our outlook range. Both Tom and Rob spoke earlier about the drivers of that revenue and the respective businesses. Total company gross margin in the quarter was up 28.5%, up 100 basis points year-over-year. The increase is primarily driven by the continued operating efficiencies gained in Products & Solutions, partially offset by more competitive pricing in certain categories at ADI. Fourth quarter total company fully diluted adjusted earnings per share was $0.59 and GAAP fully diluted earnings per share was $0.08. Adjusted earnings per share was toward the high end of our outlook range. Total company adjusted EBITDA was $187 million in the quarter, growing 26% year-over-year and exceeding the high end of our outlook range. The primary driver of the increase was the positive contribution from Snap One. We exceeded our annual outlook by generating $444 million of cash from operations. This was driven by better-than-usual working capital metrics that resulted in a more efficient cash conversion cycle as well as by the positive contribution from Snap One. Before I provide our 2025 financial outlook, let me walk you through some of our market perspectives and forecast assumptions for 2025. Let's start with our market perspectives. We have a relatively cautious market outlook as the current macroeconomic environment remains uncertain. Despite some signals that new U.S. residential homebuilding is back to normal levels and the outlook for U.S. repair and remodeling has reverted to modest low single-digit percentage growth, U.S. mortgage rates remain high, the existing U.S. home resale market is still soft and inflation remains persistent globally. Our 2025 financial outlook does not include assumptions for changes in the current tariff environment. We cannot predict what tariff change will occur. But if tariff changes implemented, then we have detailed action plans designed to substantially mitigate the impact, as Jay indicated. Our 2025 financial outlook is based on December 31, 2024 currency rates. Note that those was December 31, 2024, rates reflect U.S. dollar strengthening against many currencies during December of 2024. We have no assumptions in our 2025 financial outlook for future currency rate fluctuations. Now our forecast assumptions. We anticipate both business segments to achieve year-over-year net revenue growth in 2025. We forecast the growth rate of ADI in 2025 to be higher than products and solutions. From a linearity perspective, we expect higher revenue in the second half of 2025 versus the first half, in line with our historical seasonality. Two items to note on net revenue. Relating to ADI, we are updating our synergy target to now achieve at least $75 million of annual run rate synergies from the Snap One acquisition exiting year 3. As Rob noted, we are seeing the potential for some revenue synergies to occur earlier than anticipated. And relating to Products & Solutions, we communicated on the 2023 fourth quarter call that we expected 2024 North American residential security hardware sales with ADT to decline by approximately $100 million, with a similar additional reduction in 2025. We saw better results than expected from ADT in 2024, and we also expect a better than previously communicated impact in 2025. ADT remains an important customer, and we continue to work with them on our long-term relationship. Moving to 2025 gross margins. We forecast 100 to 150 basis points of expansion in total company gross margin versus 2024. This is supported by higher gross margins forecasted for each business segment in 2025 versus 2024. We are also investing in each of the business segments in 2025 to drive future growth. This includes the strategic growth initiatives that Rob mentioned for ADI as well as driving speed to market and awareness for the new product introductions that Tom mentioned for products and solutions. We have a durable cash flow generation engine, evidenced by our conversion of over 100% of GAAP net income into free cash flow in each of the last two fiscal years. In 2025, we forecast a healthy free cash flow conversion ratio, but one that will be lower than 2024 due primarily to ADI's higher capital expenditures for strategic store expansions and consolidations as well as the implementation of a new ERP system. Considering all of these assumptions, here is our 2025 financial outlook. For the full year, we expect total company net revenue to be in the range of $7.285 billion to $7.485 billion; total company adjusted EBITDA to be in the range of $725 million to $805 million; total company fully diluted earnings per share to be in the range of $2.23 to $2.47; and cash provided by operations to be in the range of $345 million to $405 million. For the first quarter of 2025, we expect total company net revenue to be in the range of $1.72 billion to $1.77 billion; total company adjusted EBITDA to be in the range of $150 million to $170 million; total company fully diluted earnings per share to be in the range of $0.27 to $0.33. Our earnings presentation includes our outlook ranges, along with some modeling assumptions, which can be found on our Investor Relations website. So in closing, Resideo is building upon the business and momentum it has generated while also investing for future profitable growth. New product introductions and accelerating synergies from the Snap One acquisition will contribute to growing revenue, expanding gross margins and generating durable cash from operations in 2025. Let's now open the call up for questions, Operator?
Operator: [Operator Instructions] Your first question comes from the line of Cory Carpenter of JPMorgan. Your line is now open.
Cory Carpenter: Good afternoon. Thanks for taking [ph] the question. I have one and then a follow-up. So to start, just hoping you could talk a bit more about the new product innovation that you've been working on. It certainly seems to be a key theme. Maybe just expand a bit on what you've done thus far and how it's been received, and then also what you can tell us about the product road map for 2025.
Thomas Surran: Yes, hi Cory. Good question. Okay. So let's start with what we're doing. We're revitalizing the product lines that we have in our existing markets to our existing customers in the current product categories. And we're making those investments to improve the value our customers receive. And so in terms of the products that we've released so far, we have two that have gone to the market. And I couldn't be happier with actually how they were received. They've exceeded expectations in terms of the response we've gotten. In terms of where we're going, we're going to continue that. We're going to -- we've got a number of products in our thermostat product line, where we've revitalized that whole line. We've got new offerings coming in the security products. We've got new offerings in our safety. So you were going to see a cadence coming up here in 2025 and thereafter. As we get past revitalizing the current product categories and current lines that we have, we'll be expanding into new product categories for the existing markets we serve. And then subsequent to that, we'll be expanding into new markets for our customers. Does that help?
Cory Carpenter: Yes. And then just to follow up, wanted to ask a little bit more on tariffs. Thank you for the color on what you're assuming and it sounds like you have a lot of contingency plans. But maybe what would be helpful is if you could just kind of go over your kind of supply chain footprint today. I know that's a loaded question, but what you can cover and kind of where you feel like and talk through some of your contingency plans. Thank you.
Jay Geldmacher: Hey Cory, it's Jay. Good question. In my remarks, as you know, I addressed a couple of examples. But let me first start off with -- and I'm going to give a little more color on those examples. But to start off with, as you know, been following us the last few years, I've been here five years now. And one of the big investments that we've made is extra investments with our customers to deepen the relationships we have, which has really paid off in a lot of different ways. But in terms of what we -- as we looked at kind of a playbook to address this, we reached out to all of our customers in a very proactive way, both the Products & Solutions division with Tom and his team as well as Rob with ADI Snap to contact all our major customers and say, hey, we need to sit down and talk with you right now and go through what the possibilities are to be and talk about maybe price. We're doing other things operationally, supply chain-wise to offset, but price may have to go this way, depending on the -- what happens with the tariffs. They all responded in a very positive way and saying, thank -- we were like one of the few that reached out in a proactive fashion like we did and said we fully understand, and we'll work together. For the most part, that it was a very positive response from most customers for both divisions. So that was good. In terms of levers, you've heard me say already about price, so that's pretty straightforward in terms of opportunities there. Commercial actions is quite a laundry list of things that both divisions have looked at, I mean, such as like an inventory buy ahead, but there's many other things. And then operational and supply chain moves, there's things that you can do in the short term and things you can do in the long-term. But we have come up which we feel a pretty comprehensive playbook that makes -- who knows exactly what's going to happen, right? But I think we have -- the comprehensive playbook, I think, puts us in a pretty good spot.
Cory Carpenter: Okay, that’s helpful. Thank you.
Operator: Your next question comes from the line of Amit Daryanani of Evercore ISI. Please go ahead.
Unidentified Analyst: This is Michael [ph] on for Amit. Thanks for taking my question. Just curious on the ADI gross margin up 360 basis points year-over-year, which is pretty impressive. And I'm just wondering, within that improvement, the 34% growth in exclusive brand revenue, is there any way to quantify how much that contributed to the improvement and just maybe how to think about the margin upside potential from exclusive brand going forward?
Robert Aarnes: Yes. So let me make sure I -- great question, by the way, Michael, something I think about quite a bit. Let me first just go back to some of the question yourself. So the 34% growth that I mentioned in my remarks was growth on the ADI legacy exclusive brands product, not the comprehensive all-in product with Snap. So just level set there first. But obviously, now that we have the Snap exclusive brands product, combined with our legacy ADI exclusive brands, we see a great opportunity, especially with the Snap product, to distribute and get those in the hands of our ADI customer base, which was significantly larger than the Snap customer base. And any opportunity we have to drive a higher mix of those exclusive brands is obviously going to be accretive to overall gross margin. So you can expect that to be a focus area for us for the foreseeable future. Does that help?
Unidentified Analyst: Yes, definitely. And then also on the Snap One, looks like synergies are coming in well ahead of expectations, both already realized and what you're looking forward. Can you just talk about what's driving that? Like where are you seeing maybe a bit stronger benefit than you anticipated?
Robert Aarnes: Yes. So I'll first just say, couldn't be prouder of what the team accomplished to get to that $17 million and really just 6.5 months post close. So we're really pleased with that and just how the entire integration is progressing. The majority of that, I'll state, just to answer your question, is from cost so I'll say that right up front. But the other part of your question in terms of how that's happening, I really attribute that to the manner in which we've approached the integration. I think I said on the last call that we've taken a lot of time to make sure we bring the best of both of these organizations together to include and starting with our leadership teams. My leadership team is 50-50 Snap legacy ADI as is the next layer down and as is the next layer down. We took those steps early on post close. That has allowed both sides of the business to really understand at an accelerated rate each other's businesses' go to market and subsequently to identify those synergy opportunities faster and then allow us to act on those. So that is the primary driver behind delivery of that $17 million number in 2024. And also, what will continue to be the driver, as Mike mentioned, to deliver north of that $75 million as we exit the third year.
Unidentified Analyst: Great. Thanks for taking my questions.
Robert Aarnes: Thanks, Michael.
Operator: Your next question comes from the line of Erik Woodring of Morgan Stanley. Your line is now open.
Unidentified Analyst: Thank you for taking my question. This is Katy [ph] on behalf of Erik Woodring. So just a question on tariffs. Would you say that most of your competitors are facing similar issues where there's a lot of production in Mexico? And then I have a follow-up.
Jay Geldmacher: Some of our competitors are in Mexico, but some of our competitors are in other locations, too. So it's a mix. And as you might guess, as part of the comprehensive review that my teams have done, we've looked at all that. So it's really -- it's a mix in terms of locations of different manufacturers. As you might guess, some of our competitors are in China. So it's just -- it's really a mixed bag.
Unidentified Analyst: And just on ADI, you mentioned record growth in your exclusive brands in e-commerce. Like how would you expect the strong areas of demand to translate to pricing power over time in ADI? And would you still describe the market as competitive in terms of pricing? And that's it for me. Thanks.
Robert Aarnes: Yes. So maybe I'll take your second question first. The market certainly throughout the year last year became more and more competitive. I would say the height of that was really in Q4, where we saw the majority of those competitive pricing pressures. That and then the mix of our commercial large project business presented a headwind for us in Q4. However, that said, and a great point that you bring up, two of the more margin-accretive parts of the business, right, in fact, the most margin-accretive parts of the business are from e-commerce channel as well as exclusive brands. And the investments we are making in our omnichannel experience, bringing new products to market are all geared to try and drive the mix of those 2 categories higher into this year as well as next year. I think that's the single biggest thing we can do along with pricing, along with our investments in the ERP that Mike mentioned, which should unlock for us greater pricing disciplines and capabilities are all going to benefit us from -- in the future. I'd also say that we were -- I mentioned, I think, last time that we had lapped all of the deflationary impacts in Q3. We did not have any of those in Q4, and we don't expect any of those going forward.
Operator: [Operator Instructions] And your next question comes from the line of Ian Zaffino of Oppenheimer. Your line is now open.
Isaac Sellhausen: This is Isaac Sellhausen on for Ian. Thanks for taking our questions. My question is just on ADI and Snap One, maybe if you could provide some details on the organic growth assumptions for ADI and some of the main drivers of growth there between video, fire, some of the strengths that you've seen towards the latter half of 2024. And then I have a follow-up. Thanks.
Robert Aarnes: Sure, Ian. Thank you. What I would say, and I think I said this last time, is I remain cautiously optimistic about our ability to deliver growth into 2025 despite the macro environment being mixed. And I say that because as I look at our opportunity pipeline right now, especially in the commercial categories, it remains at a record level. Our backlog remains very, very healthy. And our project bid level is very, very strong. So that gives me a lot of confidence that we're going to be able to see continued growth throughout 2025. And look, we're seeing nice pickups from the Snap business, especially from Control4 dealers. They delivered generally in line with our expectations into Q4 and we expect them to continue to doing the same throughout the year -- this year.
Isaac Sellhausen: Okay. Great. And then just on the follow-up on Snap One. It's very large business, I guess, contributing to growth this year. Just maybe some of your assumptions and growth drivers and sort of what you expect as far as margin accretion there. Thanks.
Robert Aarnes: Yes. So I think I mentioned this on the last question I answered. First of all, I will say that Snap is incredible at launching new products. Launching new products that continue to be accretive to our business. I mean we launched over 400 new products last year. We're continuing to do the same thing this year. So a very strong road map. There are several enhancements coming in Control4 products, including the user experience. We announced that at CDA with the X4 launch that is going to be later this quarter, early second quarter. So we think there's some real opportunity there. And then second of all, to be able to take the Snap product line into the ADI customer base, which, again, is much larger than the Snap customer base represents a real opportunity to expand overall margins as we drive a higher mix there in complement to what's happening on the e-commerce channel as well.
Isaac Sellhausen: Okay, understood. Thanks very much.
Operator: There are no further questions at this time. This concludes today's conference call. Thank you all for joining. You may now disconnect.